Operator: Welcome to the Neogen third quarter fiscal year 2010 earnings results conference call. (Operator Instructions) I will now turn the call over to Mr. James Herbert, Chairman, and CEO. Mr. Herbert, you may begin.
James Herbert: Good morning and welcome to our regular quarterly conference call for investors and analysts. Today we will be reporting on Neogen’s fiscal year 2010 third quarter which ended on February 28, 2010. I’ll remind you that some of the statements that are made here today could be termed as forward-looking statements. These forward-looking statements of course are subject to certain risk and uncertainties. The actual results may differ from those that we discuss here today. These risks that are associated with our business are covered in part in the company’s Form 10-K as filed with the Securities and Exchange Commission. In addition to those of you who are joining us today with this live telephone conference, I also welcome those who may be joined by way of simulcast on the worldwide web. These comments along with some exhibits will be available on the web for approximately 90 days. Following comments this morning, we will entertain questions from participants who are joined in this live conference, and I’m joined today by Lon Bohannon, Neogen’s President, and Richard Current, our Chief Financial Officer. Earlier today Neogen issued a press release announcing results of our third quarter and the first nine months of the company’s 2010 year. I’m very pleased with these results especially considering the severe economic stress that’s been faced by many of our customers. Net income for the third quarter was almost $3.9 million, a 38% increase from the previous year. Adjusted for the 3-for-2 stock split that was effective in December, net income in the quarter rose to $0.17 per share, and that compares to last year’s $0.12. Third quarter revenues increased 21% to approximately $33.8 million and this was again another record third quarter for the company. The result of these third quarter results does extend our consistency record now to the 72nd quarter in the past 77 when Neogen has reported revenue increases as compared to the previous year. This is a record that now spans more than 19 years. On a year to date basis, revenues for the first nine months increased 15% to $101.4 million from last year’s $87.8 million. The current year to date net income for the same nine-month period increased 23% to approximately $12.9 million or $0.56 per share compared to the prior year’s split adjusted amount of $0.46. The broad based nature of our organic growth in the operating results I believe are further indication that our plan to ensure long-term growth is the right one. I’m very proud of the employee group and the management team. The quarter was again a good one from the standpoint of generation of cash flow. Year to date cash from operations for the first nine months is almost $22 million. Of course all of these factors continue to strengthen Neogen’s balance sheet that’s resulted in a 14% increase in shareholder equity compared to our position nine months ago on May 31. Again our international operations were significant contributors to the quarter’s results. Our Neogen Latino America subsidiary turned in a revenue increase of 39% ahead of the same quarter in the prior year and our Neogen Europe operation revenues were 47% greater than a year ago. In fact Neogen Europe located in Ayr Scotland, has been consistently recording revenue increases in excess of 20% for the past number of quarters. The fact is our employee numbers at that location have now grown to over 50, we’ve begun to run out of space for further expansion. We solved that problem two weeks ago by acquiring three buildings on the historic Scottish Agricultural College Campus at [Awkancreve] where we’ve been operating from some leased facilities. This has provided us with 40,000 square feet of mixed laboratory, office, and manufacturing space and what I believe is one of the most picturesque areas of Scotland. This will facilitate our planned expansion over the next few years and provide some additional land area for even further growth. At this point I’ll stop talking about the quarter and in a few minutes Lon can give you some of the real color on various areas of our operations, instead let me take the next few minutes to talk about what I see for the company in the upcoming quarters and some of the factors that I think ensure our continued strong growth. At the time of our report to you three months ago, we reported that we had just successfully completed the acquisition of the BioKits food safety division of Gen-Probe that’s located in Deeside, Wales. You may remember that this business was concentrated in the diagnostic kit area for the detection of foodborne allergens and an interesting group of tests to determine meat speciation. The majority of the sales of that business is within the European Union where we were already building a good market share. The acquisition now clearly puts us in a position I think of being the dominant supplier in many European countries and the acquisition also brought along 50 new diagnostic tests to add to Neogen’s offering. Since the time of that acquisition we have determined to consolidate the Wales operation, moving a portion of the research and manufacturing activities to our facilities in Michigan, and moving the remainder to the Neogen Europe operations in Scotland. In fact the acquisition of additional space that I spoke of just moments ago makes this consolidation possible. The cost for this consolidation by the way were recognized in our third quarter financials. All of the drivers for Neogen’s growth continue to be solid. There has been a lot of public press as you all know on worldwide food safety for the past couple of years but there’s been really very little discussion about food security. Food security could be easily defined as the world’s ability to produce more quality food to meet growing population demands and that most countries have come to already to expect that. Noted the economists have forecast that we will need 30% more food by 2025 than we produce today. And that’s just 15 years into the future. To meet these demands of increasing food supply while at the same time reducing costs, will be more dependent upon larger production and processing facilities. This means that a larger concentration of animals in small areas, bigger and higher speed processing plants, and a faster distribution system to get food from the farm to the dinner plate. All of these increase the likelihood of food safety problems and add to the growing problem of widespread outbreaks of foodborne illnesses. This not only means that we’ll be more dependent upon rapid and easy to use diagnostic tests to detect these problems before they reach the consumer, but there’ll also be more pressure to discover and use intervention methods to prevent the problems. Of course Neogen’s mission is specifically aimed at providing solutions to both of these problems. Regulatory agencies around the world are continuing to put in place new regulations to address [inaudible]. In the US such legislation has been sitting on the brink of passage for the past number of months as our Congress has been of course embroiled in the healthcare issue. US House of Representatives has already passed the Food Safety Enhancement Act and the Senate subcommittee has approved its version of the a Food Safety Bill that’s now ready for introduction for full Senate vote. Since this legislation is generally considered as bipartisan, one would think that it will see legislative action sometime here in the near future. This is particularly true considering the almost daily consumer pressure that’s being added based upon new reports. A recent one based on CDC information claims that foodborne illnesses cause 56 million illnesses annually, 325,000 hospitalizations, 5,000 deaths, and cost $152 billion in the US alone. Regardless of how this legislation finally gets on the books, its expected that it will bring about the most sweeping changes in the US Food and Drug Administration regulations in at least 50 years. When Lon and I were in China a few weeks ago we saw first hand the same kind of pressure there not only from consumers, but also from producers and exporters of food from China. During that visit the Chinese government announced [wrap] regulations aimed at stopping contamination of animal feeds with the use of, and also concerned about the use of unregulated feed additives. The announcement invited comments on the regulations to be submitted to the Chinese government before the end of March, and its expected that these regulations will be put in place pretty rapidly. They specify stiff fines for failure to meet the regulations and place tough controls on any countries that are shipping feed products into China. Also while we were in China the FDA announced the opening of US Food and Drug Administration offices in both Beijing and Shanghai, in an effort to monitor food production facilities that intended to ship products to the US. And FDA has also just established offices in Mexico for that same intent. I think all of this is further indication of the growth in the markets that we serve. Also given our nice increases in revenues over the past several quarters, I can’t help but believe that we are also capturing a greater share of these growing markets. The second driver for Neogen’s growth is the introduction of both new products and improved products for our current customers and prospects. In recent calls you’ve heard me speak of our increases in R&D activities and for the first nine months of this year we’ve invested 36% more dollars in R&D than in the same period last year. During the first nine months of this year we’ve introduced several new products, new diagnostic tests, and made some improvements in others. These allow our customers to get faster results with easier to use tests. We’ve expanded our geographic coverage of intervention products such as rodenticides and disinfectants and where this strategy of continuing to make steady product improvement doesn’t usually show big sales gains in any particular quarter, its certainly helping us maintain consistency in our growth and gain in our market share. Our 55 scientists at the three primary locations are also continuing to work on leap frog kind of technologies such as the use of more genomics that likely will bring, won’t have any real impact on our revenues for another three or four quarters. However with that pipeline has clearly been one of the keys that’s helped us maintain the consistent quarter-to-quarter growth that we’ve been able to establish over the last 19 years. The third piece of our growth strategy continues to be the expansion of our international markets. I spoke earlier about our continued expansion in Europe as well as in Mexico. We’re also strengthening our market position in some other geographic areas, and perhaps Lon may cover during his comments. Our fourth strategy continues to be to grow through acquisition of synergistic businesses. With our increase in cash and no long-term debt we are in an enviable position to be able to take advantage of acquisition opportunities as they become available. However we’ll continue to be diligent in making those decisions and I think maintain the right amount of patience. Over the course of the last 10 years, we’ve successfully made 16 acquisitions and more importantly, have successfully integrated each of these to provide accretive top line and bottom line growth. We’ll be careful not to mess up that record. Before turning the conference over to Lon let me say that I believe that Neogen’s future may be even brighter than at any time in our history. We’ve been able to manage growth during the worst economic times in the last 75 years and I believe that a quote that I heard recently holds true. It was said that “storms make oak trees take deeper roots.” Now let me turn the conference over to Lon to give you some of the real color of the outstanding quarter we just finished and following Lon’s comments, we’ll open the conference for questions. 
Lon Bohannon : Thank you James, and I too would like to welcome our listeners on the conference call as well as those joining by way of internet access. Regarding our press release of earlier today Neogen’s percentage growth in sales and profitability for our third quarter was certainly exceptional, surpassing even the superior performance of our first and second quarters. I want to publically congratulate our employee team for their contributions that allowed us to report such a terrific quarter. James touched upon some of the third quarter outstanding achievements including new highs for sales, net income, and earnings per share for our Neogen third quarter as well as the continuation of our remarkable track record for consecutive quarters of growth in sales. As we have moved through the current fiscal year I also think its worth pointing out that our quarterly percentage growth in sales compared to the same quarter of the prior year has progressively increased from 12% in the first quarter to 13% in the second quarter and 21% in the third quarter. This strong growth in sales has contributed to a similar positive trend in quarter-to-quarter improvement in operating profit, capped off by an amazing 61% increase in this year’s third quarter operating profit compared to the same period last year. In spite of the pressure on a couple of our product lines caused by the tough economic conditions that persist for many of our customers and particularly for customers associated with the production of animal protein, Neogen was still able to achieve impressive organic growth that exceeded 16% for the third quarter. As I said last quarter I believe this is attributed to Neogen’s diverse portfolio of products, our successful efforts to gain market share, and the fact that our markets continued to expand even in the face of a slow economic recovery. Let me cover some of the significant highlights from our third quarter, the food safety division experienced a truly outstanding third quarter with overall sales growth of 39% and organic growth of 33%. The biggest growth driver in the third quarter came in the area of diagnostic tests to detect naturally occurring toxins. As we indicated in our conference call for the second quarter much of the US Corn Belt experienced cool wet weather conditions last summer and fall which resulted in much of the nation’s corn crop being infected with a Fuserian mold that leaves behind a harmful toxic residue known as Vomitoxin or DON. Elevated levels of DON in the corn harvest resulted in a significant increase in demand for Neogen’s industry leading DON diagnostic test kits. In particular customers involved in the production of ethanol purchased large volumes of our DON test kits, along with other mycotoxin diagnostic tests including kits for zearalenone and fumonisin. Total sales for mycotoxin tests increased 67% in the third quarter led by the aforementioned growth in sales to detect DON. Sales of drug residue tests were up 10% in the third quarter led once again by strong sales of kits to detect dairy antibiotic residues. Greater sales of test kits with higher average selling prices, and ongoing growth in sales of Neogen’s new BetaStar Combo test, that detects both beta-lactams and tetracycline were the primary reasons for this growth. The acquisition of the BioKits product line from Gen-Probe in December did help food allergen sales continue their recent trend of outstanding growth with an overall third quarter increase of 85% compared to last year. However organic growth within the allergen test kit product line also remained strong with an increase of 23% as virtually all of our allergen test kits achieved solid sales growth in the quarter. Two other areas of strength for food safety in the quarter were sales of dehydrated culture media sold under the Acumedia brand name and sales of Neogen’s proprietary test system to detect general spoilage organisms like yeast and mold sold under the Soleris brand name. Growth in these product lines for the third quarter was 52% and 36% respectively. Now even though my comments for the food safety division were focused on third quarter results, the majority of the product lines just mentioned are also experiencing superior growth performance on a year to date basis. Now admittedly the third quarter was more of a challenging for our animal safety division. I think most of the listeners on this call have heard commentary or perhaps seen press releases from major companies expressing the difficult economic conditions that continue to exist in most animal markets. Optimism remained high that a recovery is underway but poultry, swine, and cattle numbers are down or declining while milk prices are still below break-even levels for dairy farmers. Our animal safety group faced a further challenge in our third quarter because a number of large international orders for cleaners and disinfectants did not get shipped due to the timing of third party label approvals and third party documentation required to help assure collection of outstanding receivables. In spite of these hurdles third quarter sales for Neogen’s animal safety division were up 3% and are up more than 7% for the year. I am pleased with this solid performance and the fact is that Neogen is one of a very few companies serving customers in animal markets that have been able to report consistent growth in sales over the last 18 to 24 months. A number of achievements for our animal safety division are worth mentioning. Our focus on building a portfolio of products aimed at biosecurity concerns continues to pay dividends as sales of rodenticides to customers in the domestic market were up 51%. This increase can be attributed to gains in market share, with some large companies involved in animal production and the successful fall rodenticide promotion that also helped drive sales growth in the third quarter. Small animal supplements including the company’s care line of products used to treat pancreatic, renal, and urinary track disorders in companion animals continued their positive growth trend in the third quarter and they’re up 16% for the first nine months of this fiscal year. Another strong growth area for animal safety in the third quarter was our product line of injectable vitamins which increased 45%. Sold to veterinarians and administered to food animals with vitamin deficiencies, this product line is 29% higher on a year to date basis than last fiscal year. Vitamin E and AD sales have achieved particularly strong growth. James already mentioned that sales growth through international markets remained strong for Neogen. I’m also pleased to report that Neogen’s newly formed subsidiary in Brazil is up and running. Four employees in our office and warehouse facility just outside of Sao Paulo, are busy contacting customers and taking orders. Initial sales for this team have exceeded expectations and we’re already planning to expand our sales force in conjunction with our new fiscal year that begins on June 1st. Now obviously sales growth continues to be the primary driver behind Neogen being able to report gross margin and operating profit improvements compared to the same periods of last year. As sales go up we do get better leverage on fixed costs and margins improve. However we also diligently search for ways to improve productivity, and efficiencies to help further drive improvements in margins. These efforts include reducing the cost of raw materials through better purchasing and finding alternative suppliers, automating manufacturing processes that increase capacity or reduce labor and overhead expense, minimizing incoming and outgoing freight costs through collaboration with third party shippers, implementing software to improve forecasting and inventory control, and other projects aimed at lowering our overall cost of production. I do believe these efforts are yielding results helping to improve margins beyond what would be achieved by sales growth alone. For the first nine months of our current fiscal year gross margins have increased 52.5% of sales compared to 50% in the prior year, a jump of 250 basis points. Neogen has also been able to significantly increase its level of R&D spending and still achieve outstanding improvement at the operating profit line. Operating margins for the first nine months of this fiscal year are 19.6% of sales compared to 17.2% for last year. These cost saving efforts are also evident in our balance sheet where accounts receivable and inventories, excluding acquisitions, have gone up less than $200,000 over the first three quarters while sales have gone up 15% or more than $13 million. Better management of receivables and inventories has contributed to the outstanding cash flow performance mentioned by James in his earlier comments. With the momentum established through our first three quarters, management feels confident that we will close our 2010 fiscal year strong. We have begun the budget process for our 2011 fiscal year that begins June 1st, and we believe that the four growth drivers covered in James remarks will enable Neogen to continue its consistent track record of quarterly growth in sales and profitability. As we look ahead to the 2011 fiscal year we remain focused on following our plan to achieve $200 million in annual sales by our 2013 fiscal year and I believe we are very much on track to achieve that goal. That concludes our formal comments for today’s conference call and at this time we’d be happy to answer questions from our listeners. 
Operator: (Operator Instructions) Your first question comes from the line of Steven Crowley - Craig-Hallum Capital
Steven Crowley - Craig-Hallum Capital: Congratulations on the good quarter, first question, the DuPont business it sounds like there may have been some issues with labeling, is that as you’ve transferred some of the production here to the States, and when do you expect to see that production ramp and when will you start to see some of the gross margin benefits there. 
James Herbert : We’re still in the process of transition there. It hasn’t impacted total sales. We’ve been able to get the sales out but I think the instance that Lon talked about, there’s a couple of things that happened in our South American markets. One we had some orders from a good customer but in a country where we’re not always sure that we’ll be able to move US dollars so we had to wait a little bit on that one to make sure that we got some dollar flows. But, in several cases where we’re in the process of changing over the label from the DuPont label to the Neogen label things get hung up in the registrations. We’ve got a team that’s been working on registrations full time. I should remember, I think like we had about four or five hundred registrations that we had to change. We’re moving well along with those but they do present some problems for us from time to time on delays. There’s not been any place where we’ve lost anything but we have had some delays and it just happened that we had a couple of big orders that just got hung up in delays this time. There were orders, part of that was going to South America.
Steven Crowley - Craig-Hallum Capital: Has some of that shipped already in this quarter or are you still experiencing delays. 
Lon Bohannon : I think we’re just, at a matter of waiting for the documentation to come through before we ship the product. We may very well have shipped one of those orders in March already but I think we are anticipating most of those to be shipped in April. The cleaners and disinfectants that we acquired from DuPont have done very well overall. Its just that periodically we run into some of these kinds of situations. Its just unfortunate that this one came at the end of a quarter when we have the product. But I like our approach. We’re disciplined particularly going into some of those countries where we want to make sure that we get paid for our product and get paid on a timely basis. And so I think its appropriate for us, we set up our guidelines and we’re following them and we’re going to continue to do that. It was just something that impacted that particular quarter for our animal safety group. 
Steven Crowley - Craig-Hallum Capital: We’re starting to see some signs that the animal protein market is maybe off its lows and improving a little bit, what are your expectations as we enter this summer. Are you expecting it to be a gradual improvement, do you think that it could bounce back a little bit faster, what can you tell us there. 
James Herbert : We’ve made a lot of adjustments, industry has made a lot of adjustment in numbers and I’ll have to admit I haven’t kept up with the [broiler] numbers lately but I know we have pulled back, [hatch] numbers there so we’ve got fewer broilers in the field. Normally when we get to the summer time and the weather warms up we typically begin to see some increase in overall demand. I know we’ve had the major swine guys have cut back on sow herds, one operation in North Carolina that was pretty substantial went out of business and I think all of those sow farms now have been vacated so that’s going to take a lot of baby pigs off the market. The beef cattle numbers look okay. Cow calf guys are doing alright. They’re still in excess of $1.00, $1.05 a head on seven weight cattle and you can make money there. The feedlot guys are beginning to be okay so I think we’ll begin to see a recovery. I can’t really predict, I don’t have a good crystal ball on what’s happening to the dairy guys. They’re making some adjustment but it doesn’t seem like the margins are moving. Now one of the things that effected us on broilers and on pork has been our export situation. We had about, if I remember, probably 10% excess numbers in sow herds in the US to take care of the US demand for pork and we were obviously dependent upon export for the utilization of the rest of that. And we’ve hit some, Russia backed off on us. We had some problems in two or three places as it related to that. And that caused us to have to pull those numbers back. I’m not sure where we really are in those foreign trade negotiations but I do think that the industries have made some pretty drastic moves to pull numbers back to keep prices in line. So I think that’s a long answer to a short, long explanation to a short answer but I think we do believe that we’re going to gradually see continued improvement in economics and meat production. I don’t have quite that kind of a crystal ball on milk. I don’t know how long its going to take us to move that problem. 
Steven Crowley - Craig-Hallum Capital: You’ve had some pretty significant tailwinds the last couple of quarters in your vomitoxin business, is it safe to assume that you won’t see that recur here in this quarter and now we’re just waiting for next fall that you’ve seen the benefit from that mold issue and that’s done with. 
Lon Bohannon : I would answer that this way, we have experienced these kinds of situations in the past, if I think back all the way to the 2003, 2004 year. We had an outbreak of vomitoxin interestingly a couple of years ago, I think it was 2008, we had a very strong vomitoxin year in the UE area. As far as this year is concerned, the extent of that outbreak was pretty large and it has carried through these quarters and I think its all relative compared to the last year. I think even for our fourth quarter we’ll see levels of testing that are higher than what they were if for the same period last year for that particular mycotoxin and then I think everybody will wait to see what will happen next year when the harvest comes in. In all likelihood there will be a lower amount of testing for that specific mycotoxin but we’ve faced this kind of situation before and that’s where the diversity of Neogen’s products and the fact that we’re selling into more than 100 countries worldwide there will be something out there in the natural toxin area that will likely be a problem and will help offset that. 
James Herbert : And don’t forget that that corn is still there. I have yet to see a pile of burning corn anywhere. So there’s some contaminated corn out there that’s going to get blended down with better crop, its going to find its place to animal feeds where its going to have less of a reaction but there’s still going to be, a bad crop has a long tail on it and this is a bad crop so as Lon said, I think we’ll see that tail right on through our fourth quarter and probably even into our first quarter because we don’t begin to see our June, July, August quarter we don’t begin to see corn coming out of the field anywhere of any consequence. We’re still feeding old crop corn in the first quarter. 
Operator: Your next question comes from the line of Marco Rodriguez - Stonegate Securities
Marco Rodriguez - Stonegate Securities: I’m sorry if I missed this, how much revenues were recognized from bio safety or rather was accretive there. 
James Herbert : You’re talking about the BioKits, the new acquisition that we did in December?
Marco Rodriguez - Stonegate Securities: Correct.
Richard Current : It was $850,000 was for that quarter. 
James Herbert : That came on at the beginning of December so we didn’t get, got two months out of it I suppose. 
Marco Rodriguez - Stonegate Securities: And as far as your expectations are concerned with the integration and how that’s progressing can you give us on a scale of one to five, five being everything is perfect, where we are. 
James Herbert : I see very few fives in my life. I think that this one is, it’s a solid four. We’re beginning to move already, we’re beginning to move a group of things to Lansing where we’re starting to manufacture some of the things that were being made in Deeside. We’ve got just a tremendous team to take over this accomplishment in Scotland. Strong management there, strong accounting group there. Its going to make it a lot easier to do the things that we need to do. So I think we’re, never say, we’ll never get complacent because its difficult to move anything, but we’ve had enough experience in the past that I’m not concerned about it. I think we’ll get it moved. We won’t feel the full clean up on it for another quarter. We’ll still have some lingering costs that hang around but as I indicated I think we, Richard assured me that we’d, he tried to estimate where all the costs were going to be for integration and we accrued those and taken them into account for the third quarter. 
Marco Rodriguez - Stonegate Securities: In your prepared remarks you talked a little bit about acquisition, obviously the fourth part of your overall business drivers, it kind of sounded like maybe there might have been some increased activity or increased looking if you will, can you provide maybe a little more color with regard to that. 
James Herbert : I don't know of any increase, we’ve got a group that’s always on the prowl. We’ve got two strong people that, next door to my office, and we are always looking at where there’s opportunities. We said our strategy is to places where we’d like to have, where we think we need to strengthen our business and look at where there might be candidates. And you never know what may come in that’s, where there’s a seller out there that is showing up at an opportune time so we have been, I can say this, I can’t announce anything today but we have been very busy over the course of all of the first part of this year at looking at opportunities but I’ll continue to stress the fact that we’re not letting the money burn a hole in our pocket, we’re going to be patient. We’re going to make sure what we’re doing and what we do is synergistic and we’re going to have the ability to integrate it when we do those things. But the opportunities look good. 
Operator: Your next question comes from the line of Anton Brenner - Roth Capital Partners
Anton Brenner - Roth Capital Partners: What was the consolidation cost for the BioKits that you took in the third quarter. 
Richard Current : It was $200,000. 
Anton Brenner - Roth Capital Partners: And regarding China, in the past whenever the subject of China came up you took pains to point out that China was a nominal part of your business representing well under 1% of revenues and that it would probably never be a significant portion until China got serious about addressing food safety issues with respect to internal food consumption not only exports. And today you talked about it as one of the drivers of your business. Is it fair then to conclude that those conditions have been met, that China is engaged in a broad increase in food safety issues and is it also fair to conclude that your business in China, your revenues in China currently are increasing at a reasonable percentage rate albeit from a very low base. 
James Herbert : Well thank you for bringing that question up and it gives me an opportunity to correct what was obviously a misconception in my comments. I was, in my comment about China I was not trying to talk specifically about the China market, but talk about how the worldwide concern of food safety has continued to increase and where there is being pressure that’s coming from all sorts of areas. The pressure not only happening in the US but China was on our mind, Lon and I were there three or four weeks ago I guess now and it was making the food safety issues were making the front page of the China Daily. And I think the pressure is clearly up there, the fact that FDA has a presence now in the two major cities, in an attempt to try to prescreen some of the product that China needs to ship to the US, all bodes well for us. I would not say however that even though obviously there’s a lot of mothers that are unhappy that their babies were poisoned with melamine milk, I would not say that its progressed to the point that China is going to have an all out campaign to try to protect its own citizens. I do think that they’ve got to do something obviously if they’re going to protect their exports as some of those things that have happened. The FDA presence there is going to have some influence on it and there’s going to be some increased testing. And our organization looks better over there. It looks better than, I hadn’t been to China, Lon has taken care of that very well and I hadn’t been to China in about a year and I could tell the difference in what our organization looked like and where we were positioned over there. But as to my original comments, I again state what I did earlier don’t go buying Neogen stock simply based upon our revenues, increase in revenues in China. 
Operator: Your next question comes from the line of Stephen O'Neil - Hilliard Lyons
Stephen O'Neil - Hilliard Lyons: The $200,000 for the relocation of BioKits would that have been in general and administrative expenses. 
Richard Current : It was not, I’m glad you asked that, it is in other. Its part of other, the other part of other that’s down there is we gain on currency so they netted out.
Stephen O'Neil - Hilliard Lyons: And since you mentioned that, what was the impact of currency in the quarter. 
Richard Current : It was $600,000, it’s a plus this time, $600,000 on the top line and about $0.01 a share. 
Stephen O'Neil - Hilliard Lyons: And I guess would, you mentioned Neogen Europe was up 47% then in local currencies, would it have been closer maybe to the 20% growth that you’ve been experiencing in organic growth. 
James Herbert : That’s partly right, Neogen Europe is kind of interesting in the fact that we’ve got the interplay of several currencies over there. We obviously keep our books there on pound sterling basis, but a lot of the business that they do in Europe is on the euro so we got the euro to pound conversion and also we still have some business in the European Union that’s denominated in dollars so they’re bringing dollars in so its always kind of like a jigsaw puzzle when I sit down to try to figure it out, is the relationship between the dollar, the pound, and the euro and does it help us on cost or hurt us on conversion. So its, I think we had some play going the other way, the euro versus the pound which had some impact on bottom line but probably not that much impact I think on top line. 
Richard Current : Their same store sales were up 10% and interestingly enough where they, if you remember the calls last year, where generally they were reporting very strong sales in their currency. When we got them over here we translated them back to zero. This year when we got them over here their percentage increase was much higher. It was, including the [Technel] acquisition 48% and without that would have been at least 20, their contribution in dollars. 
Stephen O'Neil - Hilliard Lyons: Looking at the various other expenses and I’m assuming when you look at things like sales, marketing, G&A, research and development, some of that is going to be impacted by currency just like revenue is favorably impacted by currency but some pretty good increase in G&A, were there some costs there just operating costs related to BioKits in there or any other acquisitions. 
Richard Current : Well there was an increase of, for a number of our new operations as they came through, you’ve got IDS, you’ve got Brazil, you’ve got Mexico had some pretty good increases. So as these things come online many of their costs are in G&A. 
Stephen O'Neil - Hilliard Lyons: And I guess some in sales and marketing as well. 
Richard Current : Some in sales and marketing too. 
Stephen O'Neil - Hilliard Lyons: You talked about the pressure on the animal protein area, has that translated to some slower growth or any declines in your sales through the farm retail stores like Tractor Supply. 
Lon Bohannon : Actually we’ve done pretty good in the farm retail segment partially because those, that particular segment continues to open new stores, Tractor Supply is one we always mention because its well known name and they continue to expand their stores and we’re actually having some success in expanding what I call our shelf space in those stores, beyond just the veterinary instruments and going into some of those bio security products like rodenticides and fly control products. So that’s one area on the animal safety side that is actually held up fairly well and continues to grow. 
Stephen O'Neil - Hilliard Lyons: And then I couldn’t let a conference call go by without asking about the domestic BetaStar business. 
James Herbert : I would have been disappointed if you had. I got a report just before this conference call this morning on where we were on some of the latest clearance, for approval, label approval on the latest, on the only lacking beta-lactam antibiotic its been all the test work is done, its all held up very well. The proof is all there, its going through third party validation at this point in an outside lab. That validation got a little bit behind, where I had hoped it would be. I had hoped we would be able to say to you this morning that that was all completed. Its probably, I’d like to say within in the month but certainly within two months we ought to have the last sign off from everybody then.
Stephen O'Neil - Hilliard Lyons: So maybe in fiscal 2011 it might generate some meaningful revenues. 
James Herbert : It better. 
Richard Current : Let me clarify one, on that G&A expense, related to the acquisitions there’s $100,000 of amortization of CDI in there as well as for instance, Deeside because they were still operating out there at the Wales location, they had $100,000 of G&A expense that went through in the quarter. 
James Herbert : We had some severance costs that were in there, some—
Richard Current : Part of the severance, the severance cost accrual was, and then you did have just for Mexico an increase of some $40,000 and about $80,000 of G&A expense on the Brazilian operation. 
Operator: Your next question comes from the line of Greg Halter – Great Lakes Review 
Greg Halter – Great Lakes Review : Wondered if you could comment on what you would expect your tax rate to be for the rest of this fiscal year and then into next year. 
Richard Current : The way you compute that rate with taking into account as a period cost the effective option exercises and also depending on where we earn our money makes it a little hard to project. In thinking about how I was going to answer this question today because I was sure I was going to get it, I think the best rate to use is the year to date rate. When I do my modeling for the fourth quarter I used the year to date rate and I think that’s the one you all should use. 
Greg Halter – Great Lakes Review : And any change at this point in fiscal 2011, would it be higher than that year to date rate. 
Richard Current : I don’t think so. Again it is dependent upon events that take place in the quarters so there can be some variation quarter to quarter but I think on an overall basis that rate is pretty reasonable. 
Greg Halter – Great Lakes Review : And relative to your capital spending plans as we’ve just heard on the call, a purchase of some property in Europe, what does that do to capital spending expectations for fiscal 2010. 
Richard Current : I don’t know that, if we’ll change it by that $1.3 million or so that we paid for that operation and have it [fetted] out. Other than that I would expect that CapEx in the fourth quarter will be at the 2010 run rate or less. CapEx tends to bunch up in the earlier quarters and fall off in the fourth. 
Greg Halter – Great Lakes Review : And any change on your share repurchase, did you buy any shares in the quarter or still have that amount available, I think its 450,000 approximately. 
James Herbert : Its still available and still out there. 
Operator: Your next question comes from the line of Brian Jeep – Sidoti & Company
Brian Jeep – Sidoti & Company: I’m curious about Soleris sales, expect the disposables probably did really well in the quarter, but also wondered if you could give us a sense of what the capital spending environment looks like out there from your customers. 
Lon Bohannon : I probably should have elaborated a little bit more on that in my comments, since in the last quarter I had said that the economy was having an effect on capital expenditures for that particular product line since there is an instrument that’s used in conjunction with those disposable vials. We have actually seen some easing in capital expenditure restrictions by customers that are interested in that particular product line and so we actually had a good quarter in terms of instruments sales and showed a nice solid 19% to 20% growth. So its not just the disposables that are going up there. We saw a return to being able to place some of these instruments out there which should lead to some additional growth in the disposable vial sales as we move through the fourth quarter and into next year and I think as we go through our budgeting process we still feel very good about that pipeline that exists there for those instruments and so I think as the overall economy improves we’re going to continue to see that product line do very well for us in terms of growth going forward, both in instruments and in disposable vials. 
Brian Jeep – Sidoti & Company: And can you give us your CapEx number for the quarter. 
Richard Current : It was $900,000. 
Operator: Your next question comes from the line of [Joseph Podson] – Wells Fargo 
[Joseph Podson] – Wells Fargo : Congratulations on another great quarter, the only comment that I had was you look great on the cover of the Lansing Magazine, and I was wondering if you were considering entering the evening gown competition next year. 
James Herbert : No, but I do have a few extra copies of that if you plan to plant a garden this spring, I think it would help to keep the birds out. 
[Joseph Podson] – Wells Fargo : Makes good mulch, is that—
James Herbert : Yes.
[Joseph Podson] – Wells Fargo : Good quarter. 
James Herbert : Thanks Joseph. 
Operator: Your final question is a follow-up from the line of Steven Crowley - Craig-Hallum Capital
Steven Crowley - Craig-Hallum Capital: You mentioned what the cost, the consolidation costs were in Q3 but that there were also some that would hit here in Q4, do you have any estimate for what that will be. 
Richard Current : We don’t, I would think those expenses that aren’t accrued for will be relatively minor, $50,000 or less. 
Steven Crowley - Craig-Hallum Capital: And then the Soleris in general you’ve mentioned the pipeline there, how about for the Acupoint, are you seeing any uptick in that. 
Lon Bohannon : We are, thanks for that question, that’s another one that I left off my comments, when you have a quarter like food safety had its difficult just to give a whole list of everything that’s going well. We kind of almost are at the point of taking our Acupoint systems and tests for ATP and general sanitation for granted because they just continue to turn in double-digit growth each quarter and that was the case again in the third quarter where they had growth I think of like 16%. So we still feel very good about that product line. We have just introduced this year a new reader there which is more robust and also has some added software features to make it more user friendly and provide better analytical tools for the end user. So we feel very good about the future for that particular product line as well and we’ve got a lot of good prospects there. 
Steven Crowley - Craig-Hallum Capital: Congratulations on a good quarter, thanks a lot. 
Operator: There are no additional questions at this time; I would like to turn it back over to management for any additional or closing comments. 